:
Executives: Bill Kuser – Director of IR and Corporate Communications Eric Wintemute – CEO and President David Johnson – CFO
Analysts: Jay Harris – Goldsmith & Harris Sal Kamalodine – B. Riley & Company Jim Bartlett – Bartlett Investors Bruce Winter [ph]  
Operator:  Good day everyone and welcome to the American Vanguard second quarter 2008 financial results conference call. At this time, I would like to inform you that this conference is being recorded and that all participants are currently in a listen-only mode. I will now turn the conference over to Mr. Bill Kuser, Director of Investor Relations. Please go ahead sir. 
Bill Kuser:  Thank you very much, Dennis, and welcome everyone to the second quarter 2008 American Vanguard earnings review. Our principal speaker today will be Mr. Eric Wintemute, President and CEO of the company. Mr. David Johnson, our CFO will contribute on financial matters. Before beginning, we should touch on our usual cautionary reminder. In today's call the company may discuss forward-looking information. Such information and statements are estimates by the company's management and are subject to various risks and uncertainties that may cause the results to differ from management's current expectations. Such factors can include weather conditions, changes in regulatory policy and other risks as detailed in the company's SEC reports and filings. All forward-looking statements represent the company's best judgment as of the date of this call. With that said, we will turn it over to Eric.
Eric Wintemute:  Thank you, Bill. Good morning and good afternoon to everyone. Thank you for joining us to discuss American Vanguard's second quarter performance. In today's call, in addition to covering financial matters, we want to highlight the following points. First, our second quarter results reflect the balance that our business model possesses with international sales, new product performance, and non-crop specialty expansion joining our mainstream crop business lines to generate improved year-over-year results. Secondly, while our initiatives in the U.S. corn market have yet to deliver step change results, we are highly confident that our efforts to promote the use of Impact herbicide and the beneficial uses of our corn soil insecticide SmartBox system will in fact succeed and be a significant part of our business in the years ahead. And finally, I want to talk about some exciting projects we're working on to better exploit our North American manufacturing capability, producing products that are complex to manufacture and in which we have a demonstrated track record. Let me begin with the first two of these topics then our Chief Financial Officer, David Johnson, will review the key financial measures of the quarter and first half of 2008. Then I will conclude with comments about our manufacturing, pricing, and organizational efforts. As I mentioned, this quarter is an excellent example of the diversity of our business model where international sales, new product sales, and non-crop applications boosted steady performance in most of our main agricultural product lines. International sales have increased over the last several years from roughly 7% of the company's revenues total to slightly over 15% for the full year 2007. While we do not explicitly breakout international sales performance on a quarterly basis, I can tell you that the year-over-year improvement was significant and we expect this trend to continue throughout 2008. Our international sales and marketing team is doing an excellent job in securing business throughout the Americas, in Mexican corn with our insecticides Thimet and Counter, in Central America banana crops with Counter, and in Canada with Avenge primarily on wheat. We are reaffirming our commitment to this effort with the establishment of a new subsidiary in Costa Rica and believe this action will enhance the growth potential and success in the region over the next several years. Recent product acquisitions are proving to be highly successful. Our purchase of the Chemtura PCNB fungicide business late last year and our purchase of the Orthene insecticide line from Valent earlier this year are both turning out well. We have managed to expand our penetration of market segments where we previously held only small portions. We have found opportunities where we have gained product differentiation benefits. Both of these product lines contributed meaningfully in the quarterly results. Our non-crop business has tended to receive limited attention in our earnings review with most of our past comments placed on Dibrom for its use as a mosquito adulticide. Importantly, this portion of our business also includes the turf and ornamental segment as well as our products for the professional and home pest management sector. Dibrom, which has significant technical superiority to other adulticides, is being marketed aggressively this year. However, of our product lines, Dibrom's performance depends on weather in the Southeast United States. In turf and ornamental applications, as mentioned, we're benefiting from the Chemtura PCNB acquisition in the entire NAFTA region. Finally, the introduction of an EPA approved new product containing the active ingredient DDVP allows us to provide a new offering in the professional pest management category that should be significantly incremental to prior year sales. Our launch of Nuvan ProStrips, which began last month, will provide pest control operators with an effective economical residual pest deterrent as a follow-up procedure to their primary treatment of commercial buildings. We have also applied for registration of a bed bug label which will allow hotel operators to address a growing difficulty in the hospitality business. We will keep you updated on these developments. Now let's talk corn. As you know we believe that AVD has an excellent opportunity to expand its scope in corn through a series of initiatives that we have discussed over the last several quarters. In the effort to inhibit the development of soil insect resistance, we offer a ready-made solution for the management of refuge acres. In areas of moderate-to-high soil insect pressure, we have demonstrated that applying granular insecticides with efficient SmartBox equipment in conjunction with genetically modified seeds can result in substantially enhanced yields. And to combat glyphosate resistant weeds and grasses, we have an outstanding solution with our Impact herbicide. In our first quarter call, we indicated that unfavorable weather interfered with the normal corn planting regime and that with a compressed planting timeframe, farmers may not have the opportunity to try our yield enhancement approach to improve insect control or to apply a pre-emergence herbicide. Our feeling at the time was that light pre-emergent usage would give rise to greater post-emergence demand and that our impact sales in the second quarter could benefit. As the spring and summer have unfolded, we have seen that despite the heavy rainfall and flooding in many Midwest areas, pre-emergence products where applied performed relatively well. Some pre-emergence glyphosate was used – was deferred to become an early post-emergence treatment and that the demand for supplemental herbicides while somewhat higher was not significantly accentuated. Consequently, while actual application demand, the number of acres treated on the farm for Impact was greater than the prior year, sales did not meet our internal targets. We continue to witness superior in-field performance and growing product recognition. However, we still have a ways to go to fulfill what we believe will be the full product potential for Impact. Now let me turn the call over to David for a summary of financials and then I will return for more on other efforts we're making to improve our efforts. 
David Johnson:  Thank you, Eric. Good morning and good afternoon to everyone. As detailed in our press announcement, net sales for the three months ended June 2008 were $57.9 million, which is 16% increase compared to the same period last year. Eric has already briefed you on some of the drivers of our sales performance in the period. Our gross margin ended at 41% for Q2 2008. This compares with 44% for the same period last year. There are two main factors driving this performance. Sales for the quarter included strong performances for some product lines that have lower gross profit levels driving a reduced reported gross profit percentage although this benefits our absolute gross profit level. Secondly, we have seen significant cost increases in our key volume raw materials. Where possible, we have made savings in-house to offset these rising costs but we have also had to make selected price increases where appropriate. This gross profit performance is in line with our historical results, which demonstrates over the long haul that our quarterly performance swings between 40% and 50% depending on the specific mix of sales. Operating expenses, which include distribution costs for Q2 2008, ended at $15.4 million which is a 6% increase compared to Q2 of 2007. In comparison to sales this represents 27% of sales for 2008 compared to 29% for the same period of the prior year. Selling expenses increased by $287,000 to end at $4.8 million for the three months to June 2008. There are two main drivers. We have increased our advertising and promotional spending to support our new product lines and our corn initiatives. We have spent more this year improving the service we offer in the field to support our proprietary delivery systems – SmartBox and Lock ‘n Load. Our general and administrative costs have increased by $99,000 to end at $4.6 million. This is driven by increased intangible amortization following product line acquisitions. Offsetting this cost increase we have lower tax, legal, and general consulting costs. Our research, product development, and regulatory costs have increased by $403,000 to end at $2 million for the three-month period ending June 30, 2008. The main driver is increased regulatory/defense costs in the U.S. and in Europe. Freight, delivery, and warehousing costs have increased in absolute terms by $170,000 ending at $4.1 million for Q2 2008. In proportion to sales, our costs have improved from 7.8% in 2007 to 7% in 2008. There are two main factors. Our warehouse network across the U.S. is relatively fixed expense in the short-term. In fact the cost between the two comparative quarters is almost identical. This is the result of efforts to control or reduce costs in this area. Accordingly, more sales this quarter equals a 0.3% reduction in the percentage to sales. Finally, we have freight delivery costs from the warehouse network to our customers. This is driven by mix and the relative efficiency of the distribution of our inventory in the network. This is a further example of the cost savings and the efficiency gains mentioned earlier in this statement. The result is a year-on-year reduction as a ratio to sales of 0.4%. As also detailed in our press announcement, net sales for the first six months of the year ended at $98.8 million, which is a 9% increase compared to the same period last year. Eric has covered the main sales performance drivers in his comments. Year-to-date gross profit is at 42% compared to 45% for the same period of last year. Again, this is impacted, as was the quarter, by strong seasonal sales of some lower gross profit products and by increases in some of our key raw materials. Year-to-date, our manufacturing costs overall have been well controlled. Although direct labor increased by 4.9%, total manufacturing costs are only up 1.6%. Operating costs for the six months ended June 2008 ended at $29.4 million, which is $1.9 million or 7% increase compared to the same period of 2007. In proportion to sales however, these costs are flat at 30%. Selling expenses increased by 6% driven by high promotional advertising activity plus improving our service to growers using our proprietary delivery systems. Our general and administrative costs are essentially flat. Our research, product development, and regulatory costs increased by 20% compared to the same period in 2007. This was mainly product defense costs again in U.S. and Europe. Freight, delivery, and warehousing costs ended the first six months at 7.7% of sales compared to 7.5% for the comparative period. This is mainly driven by some – by mix of products sold. Interest charge and indebtedness. The company's financial performance for the second quarter of 2008 has been improved as a result of lower interest costs. This has been caused by a lower effective interest rate of 5% in Q2 2008 versus 7.4% in 2007. This is a result of Federal Reserve action to bring down the U.S. prime interest rate. A good performance on cash forecasting also enabled us to minimize our indebtedness. Indebtednesses is higher at the end of the second quarter 2008 ending at $88 million, which is a $27 million increase compared to the same period in 2007. This is driven by product line acquisitions, higher capital spending, and increased inventory. Despite the higher ending position, our average indebtedness did not change and is only up $1 million year-on-year. Interest charge for Q2 2008 was $1.2 million as compared to $1.8 million. This results from a lower interest rate saving $600,000, offset by a small increase in the average debt costing $24,000. The company's financial performance the first half of 2008 has been similarly improved as a result of lower interest costs and good cash management. The lower effective rate has resulted in the saving of $1.1 million and the lower average indebtedness saving is $315,000. Accordingly, net income ended at $4.3 million for the quarter to June 30, 2008 versus $3.6 million for the same period in 2007. This is a 21% year-on-year improvement. For the first six months of 2008, our net income ended at $6.1 million compared to $5.7 million for the same period in 2007. This is 7% year-on-year improvement. We plan to release the 10-Q on Friday, tomorrow. And in that document you will see some new disclosures related to the use of derivative instruments. This is because the company has decided to utilize financial derivatives to further stabilize one small aspect of our trading performance. Because of the nature of the raw materials we use, we purchase from suppliers across the globe, as much as possible, we negotiate purchasing in our own functional currency. However, from time to time we reach agreement to trade in foreign currency. Accordingly, we've decided to implement a foreign currency hedging program. In June we took out our first hedging contract. You'll read in the 10-Q that the difference between the rate we took the contract out at and the rate at 06/30/08 has been recorded to other comprehensive income. We will watch how this contract winds to a conclusion before expanding the practice. During the first six months of 2008 we have spent a total of $15.7 million on investing activities. This includes spending on fixed assets of $6.6 million and $9.1 million on product line acquisitions. Since December 2007, our working capital has increased by $21.4 million to end at $96 million. At 06/30/2007 our working capital was at approximately $74 million. As reported in Q1, inventory increased by $27.5 million and it's the driver of our working capital position. Some of this increase relates to taking on new product lines. Another other part of the increase relate to strategically putting in place larger inventories because our market position has broadened. However, following our sales performance in corn at the start the year we do have some increased inventory in affected product lines. Finally raw material cost increases have impacted the carrying value of some of our higher volume products. Despite this increase, our trailing 12-month inventory turns remains flat with Q2 2007. With that, I will now hand back to Eric. Thank you. 
Eric Wintemute:  Thank you, David. In light of our corn market potential and the challenges it experienced in 2008 campaign, as I discussed earlier, we're increasing our efforts to promote our corn initiatives to further encourage the use of our insecticides and our Impact herbicide. We're engaged in another round of university and field trials to substantiate and validate the very positive yield enhancement data we saw in the 2007 season. We expect this will further support our advocacy of the use of granular insecticides to boost the benefits of genetically modified seeds, particularly in medium-high pest pressure areas. We will intensify our 2009 promotions to broadcast advertising, incentive programs and an aggressive sales campaign targeting both our distributors and their retail channels. As you know from recent comments by many chemical, agricultural, and general manufacturing companies in the United States, rising commodity raw material prices, utility rates, and fuel costs have taken a toll on profit margins. In response, we're focused first on internal cost savings and efficiency improvements across various parts of our business. Additionally we have, where necessary, applied selective price increases. One of the most exciting things I want to talk to you about is the North American manufacturing capability. We now have in place a range of different facilities that both complement each other and provide excellent security of production across a complex range of chemical processes. We are identifying more opportunities to extend our in-house manufacturing to cover greater proportion of our own product lines. In the last 12 months we've expanded the percentage of our products manufactured in-house to 60%. Furthermore, we have been approached by a number of agricultural companies who want to reduce logistical risk by engaging with a North American based supplier who can offer high-quality and reliable delivery as a second source to their current often overseas supplier. Finally, we're seeing rapid movement increases in environmental compliance cost being incurred in some of the traditionally low-cost economies and as long distance transportation costs continue to rise, the positioning of our North American manufacturing capability is looking very appealing. To conclude, I want to reiterate the confidence that our management team has in growing the scope of American Vanguard's business and achieving even greater financial success. As you can see from the variety of initiatives that we pursue, we intend to participate in a wide variety of markets with a solid portfolio of products on an increasingly international scale. Additionally, I would like to add a very high percentage of our employees, approximately 50%, have chosen to own and continue to purchase shares in American Vanguard, expressing their belief in the company's products, service, and financial success. At this point, I would be happy to answer any questions. Dennis? 
Operator:  (Operator instructions) Your first question will come from the line of Jay Harris with Goldsmith and Harris. 
Jay Harris – Goldsmith & Harris:  Good morning, Eric.
Eric Wintemute:  Good morning, Jay. 
Jay Harris – Goldsmith & Harris:  Can you share with us where you would like to see your inventory levels by the end of the year? 
Eric Wintemute:  Well the seasonal – as you know, quarter to quarter, we have different flows. But I think more importantly we are looking to increase our turnover. And I think we would target to try to go north of two turnovers, is what we're trying to reach towards. And I think we're at about – we have been ranging between 1.4 to 1.8. So that's a target that we have internally. 
Jay Harris – Goldsmith & Harris:  You had I think at the end of last year – well you have the numbers here in the press release. Bear with me for a second, I have to turn the page. You had inventories of $63 million at the end of last year and roughly the same level of inventories at June 30th last year. Are we going to come down significantly from the current level of inventories? 
Eric Wintemute:  Well we acquired inventories during a couple of the last purchases. We seem to be moving through those at a pretty good factor. So our hope would be to decrease inventories by the end of the year. That being said, we are in a very unique period of time in the chemical world where we are seeing price increases scheduled out that are dramatic and we're not talking about 10, 15; we're talking 100% type price increases. So we also are aware that if we have got an opportunity to buy it right and manufacture ahead of the curve that’s a positive thing for us. 
Jay Harris – Goldsmith & Harris:  Thank you. 
Operator:  Your next question will come from the line of Sal Kamalodine with B. Riley and Company. 
Sal Kamalodine – B. Riley & Company:  Good morning.
Eric Wintemute:  Good morning, Sal. 
Sal Kamalodine – B. Riley & Company:  Can you clarify whether the cotton business benefited from the acquisition of Orthene? And if when you're talking about the cotton business being up year-over-year, but still possibly being down for the full year, does that comparison include the incremental revenue from Orthene or is that just for Bidrin on a stand-alone basis? 
Eric Wintemute:  Yes, so there is Bidrin, there's Folex and Orthene. And so, overall, obviously acres are down, but we have two of the main insecticides that we're selling now. And in addition our defoliant, Folex, was up year-over-year. 
Sal Kamalodine – B. Riley & Company:  So is that a yes or a no? Is that on a combined basis or just for the Bidrin product line? 
Eric Wintemute:  On a combined basis. 
Sal Kamalodine – B. Riley & Company:  On a combined basis for Orthene. Okay. Moving on to the soil fumigant product line, I had in my notes that the Metam product line was more of a back half or second half of the year product for you guys. I'm just a little surprised. It looks like you benefited from that in Q2. Can you just talk about what the drivers for that were and if your expectations have changed for the second half of the year? 
Eric Wintemute:  No, you're correct. The majority is driven particularly by potatoes in the third and fourth quarter. But I think also we're pleased we finally at the end of the quarter saw price increases that we were able to put through on this product. As I think you are aware in our discussions, raw materials in that product line have increased dramatically and continue to increase. The potassium version obviously is tied towards potassium. The sodium version has increases in caustic in the sulfur and the fuel relating to methanol. So we have had fairly significant increase in cost, which we feel we were able to pass through a good portion of those at the tail end of June. So going forward, part of what our projection here – I think volumes should be strong. But also with increased costs and increased sales price, we should see an increase in revenue. 
Sal Kamalodine – B. Riley & Company:  Understood. So you are saying that Q2 had the benefit of price increases but the volume shipments will still take place in Q3 and Q4. So there wasn't any Metam volume that was pulled into Q2 that won't happen in Q3? 
Eric Wintemute:  Yes, except that the price increases were just in the last week of the quarter, so it really did not reflect to any large degree. 
Sal Kamalodine – B. Riley & Company:  Okay. And then just finally, can you share with us what kind of early indications you may have gotten for the corn soil insecticide business, whether it's from anticipated root worm pressure for next year or just anecdotal evidence of what kind of interest there is in your corn soil insecticide business and how it’s shaping up for the '09 planting season? 
Eric Wintemute:  Sure. We've talked about that in '06 we had heard some of our SmartBox users that were doing this practice and launched the studies in '07 which substantiated a significant increase. We have moved forward and promoted this activity. But again, we are AMVAC in a world of giants. So, part of it was, okay, the strong results in these trials we should see second year before we really look behind promoting this. So we are repeating the trials. What we do know is that a greater number of our current customers are SmartBox users. We're doing small plots this year in the two to five acre range and we're monitoring those and hope to have some what I wouldn't qualify as absolute scientific data because they're not necessarily done under complete controlled conditions as the university trials. It's basically a process of winning over our current customers that are utilizing our corn soil insecticide. And I think if assuming we see university results, which last year were at the tail end of the year that show similar results, I think the step-up for '09 will be much more dramatic than we saw in '08. 
Sal Kamalodine – B. Riley & Company: 
 : 
Eric Wintemute:  Well, making the assumption that we have not moved the market needle in a great fashion for the '08, other than our existing people who would see the results in their harvest time and might place orders in fourth quarter, really we're probably looking at more first quarter '09 sales as we substantiate – here is the university trials, here is the second year of strong results. We do know that there are other tests being done not just by us but other testing being done. And if that substantiates as well, the seed companies and growers themselves are looking for certainly the ease that is offered with traits and that convenience is a big factor. But ultimately they're looking to drive yields. And if there is a practice that can increase the yield, they are going to use it. 
Sal Kamalodine – B. Riley & Company:  Okay, that's helpful, thanks. And actually just one last question on the corn business. With respect to Impact, can you share with us what the growth rate was in that product line in the second quarter and what are your expectations to what kind of revenue you can generate from this product just in light of the other product lines that are out in the market and various other factors? 
Eric Wintemute:  So rather than be specific on numbers, which I know you would like, what I would say is that Impact is the best herbicide in its class. It has superior performance, it's got superior safety. And as such we believe it should be dominant in the market share. That being said, we're going up against large companies that even though we have put a lot more resources and promotion and advertising in Impact than we ever have on any product, we have to recognize the fact that we have big companies that we are going up against and they have probably more significant pull-through effort than we do. But certainly over time the best product is winning out and we are experiencing virtually no complaints. We have the ability to spray – this product can be aerially applied, which other products cannot, and we have the ability to utilize this product late in the season. It has superior safety and performance and as such every year we gain more and more strength. We increased in sales. We did not meet the targets that we wanted. Part of the reason why I'm hedging on quantifying the number is this is a moving target market. This market is with the Roundup glyphosate ready traits that are basically taking complete control of the corn market, a big portion of this market is going to be a complement to that chemistry and that technology. And as such, then it will be a function of any hard-to-control weeds that develop which seemed to – each year there seems to be a couple of new varieties and it becomes a bigger and bigger issue. So that will be growing at the same time that essentially that essentially non-Roundup or non-glyphosate resistant traits will be virtually on all corn crops. 
Sal Kamalodine – B. Riley & Company:  Okay. Thank you very much. 
Operator:  (Operator instructions) Your next question will come from the line of Jim Bartlett with Bartlett Investors. 
Jim Bartlett – Bartlett Investors:  Yes, could you share with us the organic growth for the second quarter and for the half? 
Eric Wintemute:  I am looking for the organic which would be our (inaudible). Yes, so if you exclude – do you have a follow-up question while he kind of calculates that so we don't have a lot of dead air space? Is that okay, if we – we will answer that in another moment? 
Jim Bartlett – Bartlett Investors:  Also just a follow-up on Impact. You said there was growth but it was less than your expectation. Was that because you had increased your expectations because you thought the wet corn season I mean less pre and therefore more post? Or was that versus your original expectation? Because I remember at one point you had some pretty high, I believe in some cases 40% market share estimate numbers for Impact. 
Eric Wintemute:  Okay, so we had – to answer that second part, we had expectations going into the year of where we thought we would wind up. As we got into the season, I think we were – we did expect that we would have significant sales in the second quarter that did not occur. And as far as that 40% market share, we have a system that tracks retail sales quarter-to-quarter. And in one of the quarters, and I forget which quarter it was, we had increased to 40%. But as – we are a long way away from that kind of percentage in the marketplace. As I mentioned, we will focus – although we will have translate it into volume – we will focus on market share because that is probably a more measurable goal than trying to forecast – which of course we still have to do – where we think the market will be. But the market each year is moving for a variety of reasons. 
Jim Bartlett – Bartlett Investors:  And what do you think the total market was this year? 
Eric Wintemute:  We haven't gotten all the calculations. Part of this is we have to see what the returns from retailers are. So, there is material that comes back and once that occurs then you can kind of measure what actually got moved onto the ground. So we're probably 30 to 60 days away from knowing where it actually trails out. And then there will be reports that we will have to read as far as we'll know within our own product, Impact, but we will have a look and see through some reports that will estimate what they think the actual post-emergence market was for the 2008 year. 
Jim Bartlett – Bartlett Investors:  And your estimate for significant, more significant sales in the second quarter that was not met, is that it was not met totally because of the wet pre/post-emergence issue or were there other factors? 
Eric Wintemute:  Well, yes, the so the pre-emergence market that did go down that people expected to completely fail didn't. And so the weed pressure was not as strong. I think also at some point farmers looked at it and said okay, this is enough. And so there are probably fields that maybe weren't as clean as maybe they could have been. But overall I think the crop looks reasonably healthy and I think there have been a lot of concerns that it would be very poor crop. But it does seem to be holding up reasonably well. So, I think we're looking at what we expected and a number of people thought was just going to be just a huge post-emergence market that didn't materialize again for the reasons I said. 
Jim Bartlett – Bartlett Investors:  And is there any sales of Impact in the third quarter? 
Eric Wintemute:  Anything what? 
Jim Bartlett – Bartlett Investors:  Are there any sales of Impact in the third quarter? 
Eric Wintemute:  We have had sales of Impact. I think we talked I think your – we talked I think last year the tail end of the year about corn growers that are looking to buy inputs for the next year; did have a little bit of that last year, and we will probably have some in this year as well. David are you there yet? 
David Johnson:  Yes. It's about 3.5%. 
Eric Wintemute:  3.5% organic growth, okay. 
Jim Bartlett – Bartlett Investors:  For what? For the half or–? 
Eric Wintemute:  For the half or the quarter?
David Johnson:  For the quarter. 
Eric Wintemute:  For quarter. 
Jim Bartlett – Bartlett Investors:  For the quarter. And what was it for the year? 
David Johnson:  Just give me a few more minutes (inaudible) focus on the quarter. 
Eric Wintemute:  Well that will take another (inaudible). 
Jim Bartlett – Bartlett Investors:  Basically that's Orthene, that's Chemtura and then there's little of the phorate insecticide from Aceto?
Eric Wintemute:  I missed the very last part. You said the Orthene, and the –? 
Jim Bartlett – Bartlett Investors:  Chemtura and then the acquisition you did in May of the phorate insecticide line. 
Eric Wintemute:  The acquisition of the what insecticide? 
Jim Bartlett – Bartlett Investors:  You completed the phorate acquisition or was that (inaudible). 
Eric Wintemute:  I don't know that we had really much of – I don't know that we would call – well, whether we call that organic or not because that was acquiring a label of someone's and I don't know that we experienced any sales (inaudible) had otherwise. 
Jim Bartlett – Bartlett Investors:  Yes, okay. 
Eric Wintemute: 
 : 
Jim Bartlett – Bartlett Investors:  Okay, great, thank you.
Eric Wintemute:  Thanks. 
Operator:  (Operator instructions) Your next question will come from the line of Bruce Winter [ph], a private investor. 
Bruce Winter: 
 : 
Eric Wintemute:  That's correct. What we – we have the basic use is there but we've submitted – we have some efficacy that we have to show along with adding bed bugs. But we have got – and have our historical Pest Strip label, which we – has been questioned about companies building product lines or uses around this in an aggressive manner while EPA was going through its review. And as mentioned earlier, this review turned out to be an 18-year process. So when it finally concluded, we than went out promoting this use and we have identified an interest and market in the professional pest management, so these are pest control operators, PCOs. So as they go through their buildings and are spraying, the advantage that Pest Strips is that they leave behind that can offer four months of control. And in addition, bed bugs has been a strong interest of the pest control operators. They've had a very difficult time trying to deal with this. It is becoming a much bigger issue across hotels, hotel beds, and hospital beds, and residential beds across the U.S. and really world. But from the United States standpoint, there's not an easy way to deal with this. And with the Pest Strip, they can actually remove the bed or if the bed – if the room is not inhabited they can just put the Pest Strip with the bed for three days, three to four days and then remove the strip and then they've got a bed bug free bed. So this is a specific use that the pest control operators have asked us to add to the label that we already had approved last month. So this is in addition to supplement to the existing label. We are also – one of the things that we had envisioned before was a Pest Strip that would mount on your trash can lid that would have perfume or a scent in the cage along with the Pest Strip. So we would hope over the 2009 year to commercial up that usage so that again if you mount on your trash can lid you get approximately four months of control and a four month fragrance as well. 
Bruce Winter:  Didn't you have a Pest Strip product that was sold at Home Depot? 
Eric Wintemute:  They still got it. 
Bruce Winter:  That used a different active ingredient? 
Eric Wintemute:  No, no, all of the Pest Strips have been DDVP and the difference is that either there's really no other active ingredient that has the volatility that DDVP does so that it can release in this gradual four month release and be effective at these ultra, ultra low air concentrations. 
Bruce Winter:  So these Pest Strips in a hotel or even in private residences, are they going to hang there (inaudible) for months at a time? 
Eric Wintemute:  Yes, the Pest Strip is approved for use in non-living areas, places where people would not spend more than four hours a day on a long-term basis. So for bed bug use, for instance, it would be with the bed for a period of time and then removed. For pest control operators, they can spray attics and crawl spaces, underneath structures and then you can put the Pest Strip there, leave behind so that it provides long-term results after they have come in and sprayed. Utility boxes is another area where you can leave a Pest Strip in a utility box and prevent any spiders from – what they typically do is they like the warmth. They come in and they'll clog up the connections in the boxes. So, there are a myriad of uses that people I think after seeing EPA's final decision are more excited about developing going through. I think we've got another line that’s going to be used in hunting blinds where people would come in, maybe they're vacant for three or four months or six months out of the year, they put a Pest Strip in and then when they come back, they're free from all of those creepy crawlers and flying insects. 
Bruce Winter:  Okay. Your Alabama plant, is that to save money on manufacturing and transportation costs or is this about market growth? And how is this plant coming along? 
Eric Wintemute:  You're talking about the Metam manufacturing there at Axis. We're due to start October 1st. There is a couple of reasons. Certainly one is we see the market growing in that sector. We have a fairly strong percentage of that market. And you're correct about logistics. It will be our lowest cost of raw materials of the three plants where we manufacture largely because one of the key raw material suppliers is about four miles away. Another one is about 100 miles away and then our caustic can come from the Gulf. So those are – it’s probably – from moving material around to the idea of shipping this material out to Los Angeles, raws out to Los Angeles, making it and shipping it at all the way back when we're talking about millions of gallons; it just doesn’t – we can easily justify the cost of putting this facility together. 
Bruce Winter:  Are you going to have increased market penetration say in Florida winter vegetables and fruits? 
Eric Wintemute:  We have – I mean, we have a – what I would say of the Metam market, we have a significant share where there is increased potential for the fruits and veggies that you're talking about is with the decrease of methyl bromide. There are a couple of compounds that we will be competing with for those markets but I think from a cost position we will probably be at the lower end so that should give us some advantage. 
Bruce Winter:  Sounds good, great presentations so far this year. I enjoyed them. Thank you. 
Eric Wintemute:  Okay. 
Operator:  You have a follow-up question from the line of Jay Harris with Goldsmith and Harris. 
Jay Harris – Goldsmith & Harris:  Sorry to bring up Impact again, but last year if I remember correctly, your shipping season started at almost at the beginning of May and ended shortly after the annual meeting. And this year you indicated at the annual meeting that your shipping season had started at the beginning of June. Was it compressed all into one month, the month of June, or is there farmer use of Impact in July this year? 
Eric Wintemute:  You're talking about our sales or use? 
Jay Harris – Goldsmith & Harris:  Answer it both ways. 
Eric Wintemute:  Okay, so our sales, we had enough material in the channels to service the market. So our sales in the quarter were minimal. As far as use, I read reports yesterday that were saying there were still some spraying – limited spraying going on. And where Impact has an advantage, you can actually spray up to 45 days prior to harvest. And there was an outbreak of sunflowers as a weed and there really was nothing else to spray. But again overall my thought is we did not get the market share penetration that we wanted. As I said, when we know where the actual market wound up which we should know in the next 30 to 60 days, I think we can – and we know exactly what ours – we will know what our percentage was. But I am fairly certain we did not have the penetration I think that we expected. 
Jay Harris – Goldsmith & Harris:  If the weather is normal in the Corn Belt, when would it be reasonable to expect the shipping season to start? 
Eric Wintemute:  Well shipping is different. So that’s a function of a variety of factors with farmers – how much they want to pay in advance, what programs, other competitors – or what you offer as far as stocking fees or anything along those lines. But from a use standpoint, use is really a second quarter position. And really it is a – you're talking from a few days after the time corn is planted and then if you really want to say post-emergence once that corn is up and in our case it can spray up until 45 days. Most products – most herbicides have a 36 inch to maybe 48 inch restriction. They can't go beyond that. We don't have that height restriction. Glyphosate does not have that restriction as well. In fact they can spray up to seven days before harvest. So the predominant post-emergence market is second quarter usage and on a normal basis you're talking May, maybe late April to mid-June. 
Jay Harris – Goldsmith & Harris:  Let's switch over international sales. I have the impression from your comments from last year and this year that they will continue to grow much faster than the company. Can you share with us some idea of how large the international business could be relative to the total size of the company looking out a number of years? 
Eric Wintemute:  It's going to be a function too of what we acquire. You know Jay, looking out, we have done this model where we say okay, if you do nothing else where does it go and then what do you buy. Well, so knowing that we will continue to make acquisitions, it is hard to forecast. I will say that some of our products that we have are – seem to be increasing market shares, maybe Counter in the Central and South American market. There is – we have some generic competition in these international markets. Our costs, because of our manufacturing here in the U.S., are improving versus the world market; as I mentioned some of the environmental and raw material increases that the Far East are seeing are much higher cost increases than what we're seeing. So I think our investment in North American manufacturing where we have not traditionally been involved with that for a position internationally, we're having the benefit of a weakened dollar and other factors that we mentioned give us a stronger position in international market. 
Jay Harris – Goldsmith & Harris:  I guess I'm not going to get a number or a percentage out of you today. 
Eric Wintemute:  (inaudible).
Jay Harris – Goldsmith & Harris:  Thank you. 
Operator:  Your next question is a follow-up from the line of Sal Kamalodine with B. Riley and Company. 
Sal Kamalodine – B. Riley & Company:  Can we get some guidance on what you expect your capital expenditures to be in Q3 and Q4 directionally? 
David Johnson:  Well, we will have – just kind of going through them, I think we will have – and you're looking for specific numbers, so let me just mention them and then I will see if we can quantify. So, the SmartBox will be similar to last year. I think we commit to volume and I think we're committing to similar to what we did last year. And maybe the Metcam capital expenditure, which we began – I think some of that was in second quarter – we will hopefully come close to finishing up in the second quarter. I don't know – we've talked about a couple of expansions, expansion in lab, but I don't think that's going to occur in the second quarter – maybe – I mean the third quarter, we may get into the fourth quarter. So I'm just trying to list all anything unusual that would be different than last year. So having said – do you have last year's? No, for the second half, yeah. Because you're referring to second half capital expenditures versus last year's second half? Would that be –? 
Sal Kamalodine – B. Riley & Company:  Yes or if you want to comp that against what it was in the first half of the year, either way would be helpful because you had almost $4 million in CapEx in Q4 of '07 so that might skew your analysis. 
Eric Wintemute:  In Q3 and Q4 last year we said we had what 4.5? 
Sal Kamalodine – B. Riley & Company:  In Q4 of '07 you had $4 million in capital expenditures that were booked in Q4. So that might skew the analysis. So if you want to comp that against what it was in the first half of this year or what a normalized number might be, that would be helpful. 
Eric Wintemute:  So we've got – you're saying we spent 10.7 in the second half last year (inaudible). 
David Johnson:  (inaudible) capital expenditure (inaudible). 
Eric Wintemute:  Of course, he's doing this rapidly. So we will have to confirm (inaudible). 
David Johnson:  $4.6 million in the second half last year. 
Eric Wintemute:  $4.6 million in the second half, okay. And what did we spend in the first half this year? 
David Johnson:  This year we spent $6.6 million. 
Eric Wintemute:  Okay. So we are probably – so just ballpark – and we will take a look at it and post an answer – make a correction on the transcript if we're different but I – just thinking this through, I don't see – I'm just trying to think. We did have our new project that we're going to be doing. Yes, so maybe flat to up maybe $1 million in the second half. That's what I'm going to say right now. We will bear down on that this afternoon and put the transcript down we will make any correction to that. 
Sal Kamalodine – B. Riley & Company:  Okay and that’s relative to the first half of this year or the second half of last year? 
Eric Wintemute:  The second half of last year. 
Sal Kamalodine – B. Riley & Company:  Got it. Okay thanks. And then final question relating to Dibrom, do you expect there to be any boost to that business from the floods in the Midwest? 
Eric Wintemute:  We have had some spraying. We have not seen FEMA come in and do massive aerial spraying. They have talked about – but part of it is they don't seem that concerned about nuisance mosquitoes. So they're saying okay, we're teed up. If we see disease outbreak then we will spray. But we of course tried to push a more proactive approach. But currently I think what they have seen so far mostly is nuisance mosquitoes as opposed to an outbreak of disease. And as such they're reluctant to spend the money on nuisance mosquitoes. 
Sal Kamalodine – B. Riley & Company:  Got it. Thanks.
Eric Wintemute:  Okay. 
Operator:  And there are no further questions. I will now turn the conference back to management. 
Eric Wintemute:  Okay. Well, I would like to thank everybody for joining us today and look forward to addressing you next quarter. And as always, if we have any interim news that we would like to share with you, we will arrange another conference call, but thank you again very much for supporting our company and good day to you. 
Operator:  Ladies and gentlemen, this concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.